Operator: Good day, ladies and gentlemen, and thank you for standing by and welcome to the I.D. Systems Incorporated Q4 2009 conference call. Currently, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference is being recorded. And now, I would like to turn the program over to our speaker, Jeff Jagid. Sir, please go ahead.
Jeffrey Jagid: Thank you, and thank you everyone for joining us today. I’m Jeffrey Jagid, the Chairman and CEO of I.D. Systems. With me are Ned Mavrommatis, our CFO; Darryl Miller from our newly acquired Asset Intelligence subsidiary, and Ken Ehrman, President of I.D. Systems. I will be speaking briefly about 2009 and where we are heading in 2010 and beyond, Ned will review our financials, Darryl will discuss the Asset Intelligence business and how it is being integrated with I.D. Systems, and Ken will talk briefly about the recent technology and product developments of the combined companies. We will then open the call to any questions you may have. Before we begin, let me reiterate the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. The following discussion contains forward-looking statements that are subject to risks and uncertainties, including but not limited to, the impact of competitive products, product demand and market acceptance risks, fluctuations in operating results and other risks detailed from time-to-time in I.D. Systems’ filings with the Securities and Exchange Commission. These risks could cause the company’s actual results for the current fiscal year and beyond to differ materially from those expressed in any forward-looking statements made by or on behalf of the company. As reflected in our financial results, we were certainly hurt by the recession during 2009. Technology spending was very cautious in our core industrial markets and we simply did not achieve our goal of winning new enterprise deployments to replace our strong enterprise business with Wal-Mart and the United States Postal Service in 2008. However, we took many actions in 2009 to try to ensure 2010 will be a fundamentally better year. As a result, we expect to achieve profitability in 2011. Our optimism is based on a number of strategically significant events in 2009 that position I.D. Systems to achieve its goals for the upcoming year. We broadened our customer base in 2009 to set the stage for future enterprise expansions to drive long-term growth. We were successful in establishing more than 20 new customers during the year for our patented wireless industrial vehicle management systems including global leaders in the automotive, aviation, food, and consumer packaged goods industries such as Chevron, ConAgra, Mercedes-Benz, and Proctor & Gamble. We expanded our system deployments with several of these new customers including American Eagle Airlines, Audi, and Nestle. This continues to speak of the significant safety, security, operational, and productivity benefits provided by I.D. Systems technology. And American Eagle Airlines is particularly important as our first major customer expansion in the airport vehicle management market, an area that presents many additional opportunities for growth. I.D. Systems also achieved a significant milestone in the rental fleet management market in 2009, executing a multiyear contract with a leading U.S. rental car company to deploy our latest rental fleet management solutions in 2010. Recurring monthly billing for this project is expected to commence shortly. We acquired didBOX Limited, a privately held maker of vehicle operator identification systems based in the U.K., which complements our product portfolio and expands our presence and customer base in Europe, another area where we see many additional opportunities for growth. Most importantly, we also acquired the Asset Intelligence business unit of GE as announced in January 2010. This is a transformational event for I.D. Systems. We think it positions us to become the world's preeminent provider of wireless technology for managing high-value corporate assets. The Asset Intelligence acquisition strengthens the I.D. Systems team in every area, operations, sales, marketing, finance, and technology. Accordingly, we have restructured our management team to best focus our talents and resources on our goals for 2010 and beyond. Peter Fausel as Executive Vice President of Sales will focus on sales of I.D. Systems' vehicle management products and services across the global supply chain and aviation markets. Ken Ehrman as our company President will focus on advancing our unique technological advantages and overseeing the engineering of our expanding portfolio of wireless asset management solutions. Finally, Darryl Miller, the Chief Operating Officer of the Asset Intelligence unit is now the Chief Operating Officer of I.D. Systems, Inc. with responsibility for Asset Intelligence sales, corporate marketing, and overall corporate operations. Darryl has had more than 23 years of success at GE and brings a wealth of organizational skills to this key position. As Darryl will discuss further in a few minutes, integrating Asset Intelligence into our business expands our range of asset-tracking solutions, gives us immediate access to new customers, provides a $12 million to $15 million recurring revenue stream for 2010 that should help reduce quarterly revenue volatility and enables us to realize cost efficiencies that should generate approximately $8 million in consolidated expense reductions in 2010. With these revenue and cost synergies, we expect I.D. Systems to continue achieving our historical gross margins of more than 50% and as I said, achieve profitability in 2011. Financially, as Ned will detail in a moment, our balance sheet remains strong with more than $48 million in cash, cash equivalents, and investments, excluding our $11.6 million line of credit and more than $47 million of working capital as of December 31st, 2009. Thank you for your time today. I look forward to reporting on our progress to you throughout 2010 and beyond. Now, let me turn the call over to Ned Mavrommatis, our CFO, to review the company financial results for the year in more detail.
Ned Mavrommatis: Thank you, Jeff, and hello to everyone on the call today. For the fourth quarter ended December 31, 2009, revenues were $2.9 million compared to $7.9 million for the three months ended December 31, 2008, but up sequentially from $1.8 million for the third quarter of 2009. The decline in year-over-year revenues was entirely due to a $5.6 million decrease in revenues from Wal-Mart and the United States Postal Service. Net loss for the fourth quarter of 2009 was $4.8 million or $0.43 per basic and diluted share compared to net loss of $1.2 million or $0.11 per basic and diluted share for the fourth quarter of 2008. Excluding acquisition costs of $1.3 million, inventory obsolescence reserve charges of $621,000 and stock-based compensation of $540,000, non-GAAP net loss for the quarter was $2.3 million or $0.21 per basic and diluted share. Gross margins for the fourth quarter of 2009 was 28%. However, excluding the inventory reserve charge of $621,000, gross margin for the period was 50%. Selling, general, and administrative expenses for the fourth quarter were $4.9 million. Excluding the $1.3 million in acquisition costs and the stock-based compensation cost, SG&A expenses were $3.2 million for the quarter, down slightly from the third quarter of 2009 and down approximately 15% for the comparable period for the fourth quarter of 2008. Research and development expenditures for the three months ended December 31, 2009 were $582,000, a reduction of 9% from the third quarter of 2009 and a reduction of more than 26% from the fourth quarter of 2008. As Jeff emphasized, the acquisition of Asset Intelligence provides us with many opportunities to realize cost efficiencies by merging operations of the two businesses. Darryl will speak briefly about those synergies in a moment, but we expect to reduce the consolidated operating expenses by approximately $8 million and expect to be profitable in 2011. Also as Jeff noted, our balance sheet remains strong. As of December 31, 2009 before we closed on the acquisition of Asset Intelligence, I.D. Systems had cash, cash equivalents, and investments of $48.5 million and that excludes the company's line of credit of $11.6 million. With that, I would turn the call over to Darryl Miller, our Chief Operating Officer, to review the Asset Intelligence business and acquisition.
Darryl Miller: Thanks, Ned, and thanks again everyone joining us on the call today. It’s my pleasure to report to you for the first time as I.D. Systems' Chief Operating Officer and I look forward to continuing our close communications in the future as we work toward achieving our goals. The merger and integration of Asset Intelligence into I.D. Systems is clearly, in my view, transforming combined entity into the leader supply chain, asset-tracking, and management solutions. I.D. Systems has best-in-class technology for securing, controlling, and managing campus-based assets, particularly industrial vehicles, and Asset Intelligence is a solution leader in tracking and monitoring mobile assets like trailers. Together, we are positioned to add value to our customers' supply chains in ways that no one else can. Let me briefly summarize the business of Asset Intelligence, which I'm sure you know was a unit of General Electric prior to being purchased by I.D. Systems. Asset Intelligence provides mobile asset tracking solutions and data analytics for trucking, rail, and domestic intermodal applications and has more than 120,000 units in the field, generating over $1.1 million in monthly recurring revenue under multi-service service contracts – multiyear service contracts. Based on this existing business alone, we expect to contribute $12 million to $15 million to I.D. Systems' GAAP revenue in 2010 as Jeff mentioned. We provide a unique combination of sensor technologies, cellular and satellite communication solutions, web-based data analytics, and industry expertise to help our customers realize a wide range of benefits from cost reductions, enhanced security to regulatory compliance and increased revenue. Our market leadership has enabled us to build a base of more than 400 customers, most recently Royal Freight as announced on March 8th, which signed a five-year agreement to deploy VeriWise trailer management solutions on initially 750 dry van trailers. Asset Intelligence is also a preferred supplier and partner of GE Capital's Trailer Fleet Services division, one of the largest providers of trailer rentals and sales in North America. We expect this relationship with our former sister operation and GE to continue to bear fruit going forward. Operationally, it is of course our primary objective to integrate the Asset Intelligence business into I.D. Systems' operations to create as many positive synergies as possible. As both Jeff and Ned noted, by the end of 2010, we expect to generate $8 million in combined cost reductions from our joint operations. We are already making progress. We are gaining marketing efficiencies in our shared target verticals, for example, by participating jointly in trade events. We are developing cross-selling strategies to create account management cost efficiencies, as well as generate new sales opportunities for our respective sales teams. We are sharing and combining customer support resources to improve efficiency, increase customer satisfaction, and at the same time, reduce the ratio of support cost to revenue. We are presenting our solutions as an integrated value-added combination for key share customers, most prominently Wal-Mart and for key target markets such as grocery distribution and airport asset management. We think the combined scope of our mobile asset management solutions will be compelling for many customers. We are also integrating our operations team to make the most efficient use of our resources and ultimately, reduce SG&A costs as a percentage of revenue. Finally, we are integrating our technology roadmap to accelerate product development, enhance our technical market leadership, increase competitive differentiation and at the same time, reduce our combined R&D cost relative to sales. Ken will be speaking more about this technical synergy next, but I want to emphasize that under our new I.D. Systems management team, Asset Intelligence is already launching three new products in 2010. With that, let me turn the call over to Ken Ehrman, the President and Founder of I.D. Systems.
Ken Ehrman: Thanks, Darryl, and thanks again to everyone on the call. As Darryl said, we wasted no time in working to finalize the development of three new asset management products under the VeriWise brand which I think is fair to say, reflects a new level of nimbleness and market responsiveness for Asset Intelligence and is very much appreciated by the AI team. Briefly, the three products are; one, a low-cost, long-life cellular track and trace device with flexible mounting options and simple installation which is ideal for location-pinging applications, theft countermeasures, and short-term asset analytics. Two, a refrigerated trailer or reefer control unit, which has been integrated with the leading reefer brands Thermo King and Carrier to provide stem-to-stern interior cargo sensing, real-time temperature alerts, remote control capabilities, and fuel management. And three, a domestic container tracking system with coast-to-coast satellite coverage throughout North America, which incorporates proprietary power management technology for long product life, advanced cargo sensing and motion detection to track key start-of-drive and end-of-drive data. On the I.D. Systems product side, we are developing more channel-friendly products and investing in channel development to complement our core enterprise-oriented wireless vehicle management technologies. We are working on a new generation of our recently acquired didBOX product, a non-wireless system for controlling operator access to industrial vehicles, which is targeted at small fleets sold and serviced by industrial truck dealers and OEMs. We are also developing a new version of our wireless system, designed to be sold and supported by industrial truck dealers with minimal direct engagement by I.D. Systems. This is a hosted solution or a web-based solution with simplified system features, pricing, configuration, and implementation, which we expect to launch in the second quarter of 2010. These product investments will give our channel partners more options to fit directly into the types of sales opportunities they see, which we believe will result in shorter sales cycles with many customers and ultimately enable our channel partners to sell and deliver more systems independently to help grow our revenue. As Jeff noted, we also had a significant development in 2009 in the rental car market, winning a multiyear contract to develop and deploy a new generation of fleet management technology for a leading U.S. rental car company. There are actually two projects covered under this contract. In one, I.D. Systems will provide software and wireless technology for a car-sharing system, a charge-by-the-hour vehicle rental model. In the other, I.D. Systems will automate rental processes in the traditional airport car rental environment. This is an exciting growth opportunity for I.D. Systems. Auto Rental's newest report said the market for car-sharing has tripled over the past three years and expects it to exceed $1 billion in the next decade. Our flow of recurring revenue from these rental fleet applications should commence shortly. On a final note, I'd like to mention that in addition to the considerable intellectual property of Asset Intelligence we obtained through our acquisition, I.D. Systems continues to expand its organic IP portfolio with multiple new patents awarded and pending. Our two most recent patents, awarded just this past month, cover access control for remote mobile assets and a mobile portal for tracking the movement of luggage. The access control patent gives us potentially significant competitive protections and selling advantages in the industrial vehicle management market. These are just two examples of how we continue to strategically and cost-effectively expand our technology portfolio to maintain our market leadership and position I.D. Systems as the preeminent provider of solutions for securing, controlling, tracking, and managing mobile corporate assets. On that note, I would like to turn it back over to Jeff to open up the call for any questions you may have.
Jeffrey Jagid: Thank you, Ken. That concludes the formal portion of our conference call. I would now like to invite listeners to participate in an open Q&A session.
Operator: Thank you, sir. (Operator Instructions) One moment for questions to queue. Our first question in queue comes from Morris Ajzenman with Griffin Securities. Please go ahead.
Morris Ajzenman – Griffin Securities: Hi, guys.
Jeffrey Jagid: Hey, Morris.
Morris Ajzenman – Griffin Securities: Hi, first question here. Non-GAAP loss was $9.1 million for 2009. Then you are giving us some guidance on the expense side, consolidated expenses will be down $8 million in 2010 on a combined basis. How does that play out in Asset Intelligence as far as their operating model? You say to be profitable in 2011, but I'm kind of walking there and I don't know have all the ingredients, but it looks like we are kind of getting close 2010 to be profitable or breakeven. What else can you give us to kind of walk us through why you will not reach profitability sometimes in 2010 with those couple of ingredients you gave us?
Jeffrey Jagid: Right. Morris, this is Jeff.
Morris Ajzenman – Griffin Securities: Hi, Jeff.
Jeffrey Jagid: Those were some great observations. Right now, we are trying to be as transparent as possible. So we are enthusiastic about the pipeline, we are not pleased obviously with the 2009 results and it's an interesting dynamic that's taking place. And that is that we acquired a business that has a very predictable recurring revenue. So we are getting to a point where we are going to start hopefully to be able to turn that corner to have a little bit less lumpiness. That's why we feel comfortable making the comment regarding achievement of profitability in 2011, but we are not there yet as far as the I.D. Systems' core business is concerned. So while a lot of those issues relating to unpredictability and lumpiness get somewhat diluted with the acquisition of AI, they still exist. So the reality is, and again I don't want to create the wrong level of expectation, it is certainly possible based on the actions we are taking on the expense side to achieve profitability later in 2010, but I think it's more realistic to expect it to occur in 2011. We are getting very aggressive on the cost side, the margin profile is very compelling in that you have the combined business will maintain a 50% gross margin. So it really comes down to the revenue contribution coming out of our core business and when you combine that quote, "risk," unquote, with the strength of our current pipeline, we feel pretty good about it, but we certainly haven't turned the corner yet.
Morris Ajzenman – Griffin Securities: Fair enough. One more question and I'll get back in queue. Wal-Mart and U.S. Postal, again down – I think you said $5.6 million. That was just in the fourth quarter year-over-year. I get a much larger number for the full year. Well, what can you give us – what sort of guidance can you give us as far as those clients stepping up or not stepping up as we progress through 2010?
Jeffrey Jagid: Let me comment on that. So first, I certainly wouldn't link the two together because they are both moving at the pace they are moving for different reasons. So the U.S. Postal Service is right now very distracted. So right now, the U.S. Postal Service is evaluating cutting service, potentially going down to certainly eliminating Saturdays, but they are even talking about reducing service even well beyond that. Having said that, we do work very closely with them. They are – our technologies in about 114 facilities, it is driving real benefit. So it's a function of how do we get them to focus to expand into at least close to 200 additional facilities where our technology would have applicability. So there is tremendous opportunity there. I just – quite candidly in light of what they are dealing with, I don't think it's realistic to – for us to build into our internal model real revenue contribution coming from the U.S. Postal Service, but we are – we certainly are spending time with them and we haven't written them off. But they are certainly – they are absolutely struggling. As far as Wal-Mart, things are a little bit different. So in Wal-Mart, we are currently installed in all of their regional distribution facilities. There is a significant opportunity beyond the regional distribution facilities and the next logical step would be into their grocery distribution facilities. Wal-Mart is the largest grocery distributor in the world and there is significant opportunity there, but those facilities work a little bit differently than the regionals. So we are in a position now where we are almost starting the way we started in regional where we were in a facility, it's a proof-of-concept, we are working with them to demonstrate the economic utility of the product in grocery where we are pretty enthusiastic about the results. But we are certainly back into a mode of selling Wal-Mart on what the benefit would be of deploying our technology into their grocery facilities. Having said that, because they have a nice – we have a nice relationship with them, a lot of the issues, startup type issues that you would have, we don't have. Those are all behind us. In addition, the Asset Intelligence product, the VeriWise product is currently installed on 56,000 Wal-Mart trailers and there is some opportunity there. So it’s a very tight relationship and we are going to do everything we possibly can to the benefit of Wal-Mart, to demonstrate to them that there is real advantage to the Asset Intelligence-I.D. Systems combination. So our activity as it pertains to Wal-Mart is certainly driven by what we believe will be in that customer's best interest.
Morris Ajzenman – Griffin Securities: Have you baked in any estimates in your internal numbers for Wal-Mart for 2010?
Jeffrey Jagid: On the little – I don't want to get too granular on it, but I will tell you that we have.
Morris Ajzenman – Griffin Securities: Thank you.
Operator: Thank you. Our next question in queue comes from Matthew Hoffman with Cowen. Your question please?
Matthew Hoffman – Cowen: Hi. I guess my first set of questions kind of go to Ned. Let's just do the model review here. It sounds like there are some other questions out here, but let's do (inaudible) in the open, and talk through the assumptions that I've made and maybe with eight weeks of the transaction now behind us, let's go ahead and figure out if it's in the right place. So pro forma in the first quarter, based on what you guys have talked about in the disclosures, I've got about – let's call $7.7 million in total OpEx for the combined company in the first quarter and that includes both VeriWise or the GE AI stuff along with the old power fleet. Is that the basis from which we should be taking the $8 million? So if I – we had already assumed some OpEx improvement as the year goes on, but with the math you are doing and coming up with the $8 million number, is that 7.7 times four to get more like a $30 million number that could turn into $22 million if you follow that math, so taking the $8 million out of the $30 million? Just tell me what the basis is on which we should be taking the $8 million in OpEx out. Thanks.
Ned Mavrommatis: Sure, Matt. You are exactly right. If you look at the combined business as it is, there is approximately $29 million, $29.5 million in combined operating expenses. Our goal is to have this company running on a run rate where annual operating expenses combined will be approximately $21 million to $22 million.
Matthew Hoffman – Cowen: So by the fourth quarter, let's just take it to the end of the year, that would suggest that OpEx should be somewhere in the $5.5 million range?
Ned Mavrommatis: Correct.
Matthew Hoffman – Cowen: Okay. So let's go ahead and bring Darryl into the equation. Darryl, first, congrats. We look forward to the work you will do there, on the OpEx side especially. And so you've come into the company, now you've been there eight weeks and I know you don't have all the answers, but as you've dealt with the integration and you've looked at the sales side especially – we'll come back to the OpEx in a second, have you seen any change in the subscriber base that you came in with? I think it was about 120,000 subscribers in total for the – on the GE AI side. Have you lost any to churn during that period? I did notice the press release where you added the 750. So we are looking for about 4,000 net adds to your base during the course of the first quarter. Help me think about how that might be trending on the subscriber side.
Darryl Miller: Yes, we are trending on track for our first quarter pulse rate and as you look at the customer base that we have, we are extremely optimistic about our pipeline. Our pipeline is very rich compared to what we worked with in the past. These are long sales cycle customers that we have been working for a long period of time and have the activity generated to happen in 2010. So we are pretty optimistic about what we see in our forecast and what we are generating. As far as the operation rigor that we felt with I.D. Systems in preparing our cost for the future to same time period, we are preparing for growth as well. So all of our cost actions that we are taking are taken with respect of understanding our customer base and what it takes to satisfy our customers. So we are measuring quality and we are not anticipating on holding our quality flat; we are anticipating on improving quality at the time we are taking cost out and also preparing for growth. So I'm pretty optimistic about our pipeline at this point in time. Your numbers are pretty close to where we project to see us coming by the end of the first quarter and we are on track to deliver that.
Matthew Hoffman – Cowen: Okay. I'm just going to shift back to Ned for a second and ask an inventory question. You wrote off some inventory there in the first quarter – I'm sorry, fourth quarter. What was the rationale there? You – have you made changes to the product that led to some obsolescence or has there been a price decline on the hardware? What the – what type of that change?
Ned Mavrommatis: No, not all. The majority of that inventory write-down – obviously, there is always a small write-down if some components are no longer used in the product. But the majority of that inventory write-down related to products that are specifically sold to the United States Postal Service. We have one product that is only bought by the Postal Service. Now, although we took a reserve on that product, it doesn’t necessarily mean we are not going sell it in the future. So as the Postal Service buys more systems, then we could see us reversing that reserve, but the reserve in the fourth quarter specifically related to a product that's only sold to the Postal Service.
Matthew Hoffman – Cowen: Right. And will you call out those reserves as you report moving forward if you – the reversal of those reserves?
Ned Mavrommatis: Absolutely.
Matthew Hoffman – Cowen: Okay, good. And I think that's the bulk of the questions for now, but basically – I know you are avoiding giving any first quarter guidance, but we are 70, 75 days here into the quarter. Can you talk about the trends – Darryl has spoken a little about the trends in the GE AI side and I feel comfortable with where the model is at there, but should we assume that the difficulties in the core power fleet business continue here into the first quarter? And would we see any press releases if, for example, the Wal-Mart grocery business or whatever happen to close during the course of the – before the end of the quarter? Thanks.
Jeffrey Jagid: Thanks, Matt. So we are certainly hesitant to give quarterly guidance. There are a number of initiatives that we are working on that could certainly come to fruition within the quarter that we would announce as they come in. But I'm hesitant on this particular call to give revenue guidance for the quarter. What I should clarify is that the cost out that we are referring to and the cost synergies, that would take place not during one particular quarter, but throughout the course of 2010.
Matthew Hoffman – Cowen: Right. I think that the run rate, basically you are talking about cutting the run rate pro forma in first quarter from about $7.7 million, $7.8 million in my model more toward a $6 million – $5.5 million to $6 million a quarter. That's the correct way to look at this, correct?
Jeffrey Jagid: Correct.
Matthew Hoffman – Cowen: All right. And that's the basis upon which you will achieve profitability growing the top line in GE AI, adding subs and then cutting the – continuing to hold the line on expenses into '11. Is that your basic thinking there, Jeff?
Jeffrey Jagid: That's exactly right and we may – and we expect the margins to maintain – to be maintained at 50% as well.
Matthew Hoffman – Cowen: Great. Thanks, guys. Good luck.
Jeffrey Jagid: Thank you.
Operator: Thank you. (Operator Instructions) Our next question in queue comes from Brian Ruttenbur with Morgan Keegan. Please go ahead.
Brian Ruttenbur – Morgan Keegan: Thank you very much. All of my questions have been asked and answered, except understanding cash at the end of 2010. Can you tell us what the cash balance should be? Your cash and debt.
Ned Mavrommatis: What it should be as of 2010 you say?
Brian Ruttenbur – Morgan Keegan: Yes, yes. Are you expecting to have a negative cash generation – ?
Ned Mavrommatis: The end of – yes, let me answer that. We expect to have negative cash flow in the first six months and positive cash flow in the latter part of 2010. When you look at the overall year, we expect the cash burn to be minimal in 2010.
Brian Ruttenbur – Morgan Keegan: Okay. So your cash and debt should be similar to right now – that it is right now at the end of 2010?
Ned Mavrommatis: Correct. But you also should account that we did pay for the GE acquisition in 2010. So you got to exclude that. If you exclude that, the answer should be similar.
Brian Ruttenbur – Morgan Keegan: Okay. Very good. Thank you very much.
Operator: Thank you. Our next question in queue comes from Walter Schenker with Titan Capital. Please go ahead.
Walter Schenker – Titan Capital: Small questions and some bigger questions. Did didBOX add revenues in the quarter just ended?
Ned Mavrommatis: Yes, Walter. This is Ned. We purchased didBOX; we closed the deal on October 15th. From the date of inception [ph] to year-end, they had $142,000 in revenue and a small profit.
Walter Schenker – Titan Capital: Okay. So it wasn't terribly relevant. In looking at the acquired business and having not had really this being a better format to do it, they need roughly; even with you expense savings, 50% increase in units under – in use to become profitable? I mean, is that not in the right ballpark? You have to get up into the 175,000 or something like that?
Ned Mavrommatis: I think, Walter, at this stage, you got to look at the combined company in total. We – if you look at the combined company, the combined company to be profitable needs approximately $40 million in annual revenues. So that's $10 million per quarter for profitability for the combined company.
Walter Schenker – Titan Capital: Okay. And their revenue run (inaudible) quarter was? I know yours, because just reported it.
Ned Mavrommatis: Say that again.
Walter Schenker – Titan Capital: The GE business' revenue run rate in the fourth quarter was question mark. I know what your fourth quarter run rate was because you just reported it. I'm trying to add Darryl's and yours to see how far off of $10 million we are.
Ned Mavrommatis: Well, it's very hard to look at their historical, because if you remember and we discussed this during the call we had on the acquisition, there is quite a bit of revenue that we lose due to purchase accounting. The one thing I would point out for Asset Intelligence currently, they have $1.1 million in recurring revenue per month. So at a minimum, their run rate is $3.3 million per quarter and obviously you got to add any new sales and you got to amortize that. So that should give you a good picture of how the combined company looks like.
Walter Schenker – Titan Capital: Okay. And just – I know we've spent a lot of time talking about the combined companies and the opportunities, however, the prior – this is to Jeffrey. The prior couple of quarters were sort of marked by being in one business and discussing the disappointment of that one business and the need for accountability in that business. (inaudible) and so much question sort of is what are we doing actually about accountability and to what extent are we making people accountable? I mean, it's redundant, but to what extent are people actually becoming accountable?
Jeffrey Jagid: Right. It's a great question, Walter. Let me give some background and then I'll answer the question specifically. 2008 was the best year in the history of our company. 2009 was one of the worst. So yes, in the past four quarters, we have been solely from a – and I'm not minimizing this, but solely from a financial standpoint, we've been disappointed with the financial results. As I mentioned in the opening remarks, there have been some real initiatives that – and some real accomplishments in 2009 that I think position us quite well for future growth and to get really back on to that growth path. From an accountability standpoint, I could talk about how I manage the team and then I could talk about how I'm managed. So the only way someone in our – in this organization can make money – if we boil it down to that, is by setting goals and essentially agreeing upon them with me and then exceeding those goals. So 2009 was a very difficult year for the team here at I.D. Systems from a financial standpoint. If there is a consistent theme of setting goals and failing to meet them, then we are not shy about making changes. So that's – that gives you sort of a flavor or it should give you a flavor about how I manage things. The acquisition of AI, for example, I think gives us a good – is a good catalyst into making some real management changes, which I commented on in the remarks. As far as how I'm managed, I could tell you that the pressure is on. I also – my ability to stay employed is going to be a function of my ability to execute and my ability to generate any sort of financial reward that's going to be tied to my ability to execute. And even if that wasn't the case, Walter, I will tell you that I – as a fiduciary to the shareholder, I take that extremely seriously. I'm disappointed not only with the performance of 2009, but I'm disappointed that our stock is trading the way it is and the way I intend to deal with that is by keeping my head down and focusing on execution and the Board has tasked me with driving revenue growth and getting back on the path of revenue growth and that's exactly what I intend to do.
Walter Schenker – Titan Capital: And let me finish with just my usual comment, because your and my conversation would not be complete without it, which is, you are not going to burn cash in 2010 as a plan. Your stock is trading at the level you and I both agree is rather unusual in today's market relative to asset value and cash. I don't know if any of the Board members are on this, maybe we need different Board members, but not using some of that cash to buy back stock, I believe, is fiscally irresponsible. I'll make it that strong a statement given that we now have some feeling as to what we are looking at going forward. That's just a statement. You and I had this discussion many times.
Jeffrey Jagid: I appreciate the comment. I’m not really prepared to provide my own response to it. But it is not something our discussions and your comment on this particular call is we do not take it take lightly. So it is something that we continue to reflect upon.
Walter Schenker – Titan Capital: Thank you.
Jeffrey Jagid: Thank you, Walter.
Operator: Thank you, sir. Our next question in queue comes from Larry Litton with Second Line Capital. Please go ahead.
Larry Litton – Second Line Capital: Clarification on a couple of points. First of all, we are looking at a breakeven – profitability or breakeven of around $12 million per quarter. Is that correct and is that GAAP or non-GAAP?
Ned Mavrommatis: Yes, Larry, it's Ned. It’s approximately $10 million per quarter in GAAP revenue.
Larry Litton – Second Line Capital: GAAP? Okay. And again, when looking at this balance sheet as of December 31st, the purchase price, if I remember correctly, is $15 million and there is some burn. So cash – net cash bottoms out somewhere around $30 million or a little bit better?
Ned Mavrommatis: That's exactly right. A little bit over $30 million.
Larry Litton – Second Line Capital: And if I remember correctly, there is a $2 million earnout potential. Is that likely to be earned or not earned?
Ned Mavrommatis: I think we are not ready to disclose the likelihood of that being earned or not, but if that's earned, that's going to beat our expected results and it would be a very good thing.
Larry Litton – Second Line Capital: And you are not disclosing it because it's touch and go or you just don't feel like talking about it?
Ned Mavrommatis: I think given under the agreement, we are not able to disclose the specifics.
Larry Litton – Second Line Capital: Okay. And when you talk about being cash flow positive in the second half, is – does that speak to the business being profitable in the second half or that's a working capital phenomenon or something?
Ned Mavrommatis: It's two reasons. Also with the AI business, when they sell units from a revenue recognition standpoint, that revenue is amortized – is capitalized and amortized over time. However, the cash is being – is collected upfront. So it's a combination of both the business and the way the AI revenue is recognized.
Larry Litton – Second Line Capital: Great. And lastly, any – I mean, not much time has transpired since the last call, but anything going on from a competitive standpoint, if anyone is less interested in the business or more interested?
Jeffrey Jagid: I think that the – there is a whole list of new competition as it relates to the AI business. I think we got into that a bit in our last call when we discussed the transaction, but a couple of the larger competitors are Qualcomm, another company called Skybitz. So those are two entities that we compete with. Qualcomm is obviously very focused on the in-cab market, while Asset Intelligence and Skybitz focuses on the trailer market. But Qualcomm also is a trailer solution and then there are a number of smaller entities that we compete with with Asset Intelligence. And the competitive landscape for our powered industrial vehicle management products, that remains the same. And then there are number of competitors when we apply the technology into aviation and the car rental space.
Larry Litton – Second Line Capital: Great. Thank you.
Jeffrey Jagid: Sure.
Operator: Thank you, sir. And we do have a – another question, a follow-up question from Morris with Griffin Securities. Please go ahead.
Morris Ajzenman – Griffin Securities: Hi, one last question. You talked about the 20 new customers in '09 that you won and they were existing customers the previous year. And I guess we are still waiting – that has been an announcement here or there about some rollout or an award go much further beyond the initial award. Can we expect to see – 2010, will we start seeing these customers you've won sort of rolling out to further distribution facilities and are we going to start seeing traction or is that something that you don't want to kind of point to at this point in time?
Jeffrey Jagid: I mean, I think we mentioned in the opening remarks that there have been a number of system deployments, a number of expansions in 2009. Needless to say they were not necessarily reflected extremely positively in the financial results, but the short answer to your question is absolutely and it's not just a matter of waiting for that to happen. I know obviously the audience on this particular call maybe waiting for this – for them to happen. But we are working – I mean that's what drives our behavior every day, the need to further penetrate those existing accounts through enterprise type deployments, as well as continuing to add to that list. So while over the latter part of 2008 and all of 2009 we did a nice job of adding to that customer base, we are absolutely not satisfied with the rate of expanded use of the product and I think that really is a function of – a lot of it has to do with what was going on in the economic environment and there are certainly changes we have made to better position the company to take advantage of that.
Morris Ajzenman – Griffin Securities: Would you be willing to take a stab at then if this does sort of slowly get momentum that we will have sequential revenue improvement throughout the year?
Jeffrey Jagid: Really, I mean, that's certainly the goal. But I'm really not prepared to comment on that or create the expectation level that there would be sequential growth quarter-over-quarter, because there is some lumpiness and there still – look, we want to be able to demonstrate that we have the ability to accurately forecast some of the system expansion. We haven't been able to do that yet to you and until we get there, we don't want to make promises that we can't keep. So I do think that that's what we are driving toward, that's what the Board has instructed us to do, to execute on, and it's driving our behavior every day.
Morris Ajzenman – Griffin Securities: Thank you.
Ned Mavrommatis: And I think, Morris, I just want to add, we did see it to a limited extent in 2009. If you look at the breakdown of the revenue for the year, revenue declined by $16.7 million. However, the actual decline of revenue from Postal and Wal-Mart was $18.9 million. So we saw an increase of $2.2 million in revenue from the year for other customers, excluding Postal and Wal-Mart.
Morris Ajzenman – Griffin Securities: Fair enough. Thank you.
Operator: Thank you. And there appears to be no other questions in the queue. I'd like to turn the program back over to you, Mr. Jagid.
Jeffrey Jagid: Thank you. I appreciate it. That concludes the call today. Thank you, everyone for participating. Thank you.